Operator: Good day, and welcome to the Amtech Systems Fiscal Third Quarter 2025 Earnings Call. Please note that this call is being recorded and simultaneously webcast. I would now like to turn the call over to Erica Mannion of Sapphire Investor Relations. Please go ahead.
Erica L. Mannion: Good afternoon, and thank you for joining us for Amtech Systems Fiscal Third Quarter 2025 Conference Call. With me today on the call are Bob Daigle, Chairman and Chief Executive Officer; and Wade Jenke, Chief Financial Officer. After close of market today, Amtech released its financial results for the third fiscal quarter of 2025. The earnings release is posted on the company's website at www.amtechsystems.com in the Investors section. Before we begin, I'd like to remind everyone that the safe harbor disclaimer in our public filings covers this call and the webcast. Some of the comments to be made during today's call will contain forward-looking statements and assumptions that are subject to risks and uncertainties, including, but not limited to, those contained in our SEC filings, all of which are posted in the Investors section of our corporate website. The company assumes no obligation to update any such forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of today. These statements are not a guarantee of future performance, and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in technologies used by customers and competitors, change in volatility and the demand for products, the effect of changing worldwide political and economic conditions, including trade sanctions; the effect of overall market conditions, including equity and credit markets and market acceptance risks; ongoing logistics, supply chain and labor challenges and capital allocation plans. Other risk factors are detailed in our SEC filings, including our Form 10-K and Form 10-Q. Additionally, in today's conference call, we will be referring to non-GAAP financial measures as we discuss the third fiscal quarter financial results. You will find a reconciliation of these non-GAAP measures to our actual GAAP results included in the press release issued today. I will now turn the call over to Amtech's Chief Executive Officer, Bob Daigle.
Robert C. Daigle: Good afternoon, and thank you for joining us today. I'm pleased to report that our third quarter performance was above expectations with revenue of $19.6 million, an increase of 26% over the prior quarter. Both our Thermal Processing Solutions and our Semiconductor Fabrication Solutions segments exceeded forecast, reflecting ongoing strength in the advanced packaging market and stabilizing demand within the mature node semiconductor market. Adjusted EBITDA also came in above expectations at $2.2 million, benefiting from a nonrecurring Employee Retention Credit. Excluding those items, EBITDA was nominally positive. This profitability reflects the combination of improved cost controls, operational discipline as well as benefits of our transition to a more flexible asset-light manufacturing model. Expanding on our end markets, with the Thermal Processing Solutions segment, advanced semiconductor packaging remained a highlight this quarter with continued strength driven primarily by ongoing investments in AI infrastructure. For context, in the third quarter, revenue from equipment used for AI infrastructure increased fivefold from a year ago and over 60% sequentially. AI-related equipment accounted for about 25% of our Thermal Processing Solutions revenue in the quarter. Related to revenue mix, we generated about 60% of our revenue from capital equipment and 40% from recurring revenue, including consumables, parts and services. The balance between capital equipment and recurring revenue is important and reflects our strategy to expand recurring revenue streams while fully capitalizing on opportunities for equipment used to expand AI infrastructure. As we look ahead, our third quarter bookings suggest we should continue to see strength for AI-related equipment revenue. To fully capitalize on this opportunity for growth, we are continuing to invest in next-generation semiconductor packaging equipment that enables volume production of higher density advanced packages to increase our addressable market and the value we provide to customers. Turning to our Semiconductor Fabrication Solutions segment. As we indicated last quarter, demand for front-end equipment and consumables tied to mature node semiconductor applications in industrial and automotive markets remain weak. That said, performance in this segment modestly exceeded our expectations in the quarter, driven by some improvements in demand for consumables. Beyond the cyclical ebbs and flows of this market, we remain committed to controlling our own destiny by investing in applications and product development to solve problems faced by our customers. We expect these initiatives to deepen customer relationships and increase recurring revenue streams as customers qualify our products and scale production. While these initiatives will take time to scale, we believe they are important to generate steady growth and building a more resilient, higher-margin business. Beyond our AI equipment and recurring revenue growth initiatives, we have made significant progress in optimizing our operating model. Over the past 18 months, we've implemented a series of cost reduction initiatives, resulting in $13 million in annualized savings. This includes consolidating our manufacturing footprint from 7 sites to 4 sites as we shifted some of our production to outsourced partners. Looking ahead, we expect to realize additional savings by subletting unutilized facilities. These actions will further lower our EBITDA breakeven point and improve our ability to scale profitability with higher volumes. In summary, while the near-term environment remains dynamic with strong AI-related demand, but weak mature node product demand, we believe the structural changes we've made to improve operating leverage and our focused investments in product and application development position us very well to deliver profitable growth. With that, I'll turn it over to Wade for further details on our financial results.
Wade Michael Jenke: Thank you, Bob. For the fiscal third quarter of 2025, net revenues rose 26% sequentially to $19.6 million, driven primarily by strong demand in Asia for reflow ovens used in AI applications. Revenues were down 27% compared to the same prior period last year, largely due to continued weakness in the mature node semiconductor market, which led to lower sales of wafer cleaning equipment, diffusion systems, and high-temperature furnaces. This decline was partially offset by the increased sales of advanced packaging solutions. In the fiscal third quarter of 2025, our payroll tax expenses were reduced by the receipt of an Employee Retention Credit in the amount of $2.1 million. GAAP gross margin increased by $9.5 million sequentially from the prior quarter, primarily due to the absence of $6 million in noncash inventory write-downs recorded last quarter. Compared to the same period last year, gross margin decreased by $0.6 million, driven by lower sales volume resulting from continued weak demand in the mature node semiconductor market. This quarter's gross margin benefited from a $1 million Employee Retention Credit refund. Excluding this ERC, normalized gross margin was 41.5%, a solid improvement from 36.5% in the third quarter of fiscal 2024. Selling, general and administrative expenses increased $0.3 million sequentially from last quarter and decreased $0.8 million compared to the same prior year period. The increase from last quarter is primarily due to an increase in commissions and third-party consulting costs. The decrease compared to the same prior year period is primarily due to the ERC refund of $0.8 million and cost reductions attributed to actions we have taken to reduce our fixed cost structure. Research, development and engineering expenses declined by $0.5 million quarter-over-quarter, primarily due to the timing of project- specific purchases and the benefit of the ERC refund in the amount of $0.3 million. Compared to the same period last year, expenses were down $0.3 million, reflecting the ERC benefit and nonrecurring development efforts within our Semiconductor Fabrication Solutions segment. GAAP net income for the third quarter of fiscal 2025 was $0.1 million or $0.01 per share. This compares to GAAP net loss of $31.8 million or $0.0223 per share for the preceding quarter, and GAAP net income of $0.4 million or $0.03 per share for the third quarter of fiscal 2024. Non-GAAP net income for the third quarter of fiscal 2025 was $0.9 million or $0.06 per share. This compares to non-GAAP net loss of $2.3 million or $0.16 per share for the preceding quarter and non-GAAP net income of $1.1 million or $0.08 per share for the third quarter of fiscal 2024. Unrestricted cash and cash equivalents at June 30, 2025, were $15.6 million compared to $11.1 million at September 30, 2024. This increase due primarily to our focus on operational cash generation, strong accounts receivable collections from customers and the Employee Retention Credit. Now for the outlook for the upcoming fiscal fourth quarter ending September 30, 2025. We expect revenues in the range of $17 million to $19 million. Growth in AI-related equipment sales in our Thermal Processing Solutions segment is anticipated to partially offset continued softness in the mature node semiconductor product lines. With the benefit of previously implemented structural and operational cost reductions, we expect to deliver improved operating leverage, resulting in adjusted EBITDA margins in the mid- single digits. We remain focused on driving further efficiency gains and cost optimization across Amtech's operations, positioning the company to expand margins and generate more resilient profitability going forward. Operating results can be significantly impacted positively or negatively by the timing of orders, system shipments, logistical challenges and the financial results of semiconductor manufacturers. Additionally, the semiconductor equipment industries can be cyclical and inherently impacted by changes in market demand. Actual results may differ materially in the weeks and months ahead. A portion of Amtech's results is denominated in renminbi, a Chinese currency. The outlook provided in this press release is based on an assumed exchange rate between the United States dollar and the renminbi. Changes in the value of the renminbi in relation to the United States dollar could cause actual results to differ from expectations. I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] There are no questions at the moment. I'll now turn the call back over to Bob Daigle. Please go ahead.
Robert C. Daigle: All right. Thank you. Well, thank you for your interest in Amtech and for joining our conference call today, and we look forward to updating you on our progress in the months to come. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.